Operator: Good day and welcome to the FY ‘15 First Quarter Interim Management Statement Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. John Martin, CFO. Please go ahead sir.
John Martin: Claude, many thanks and welcome everybody to the Wolseley conference call to run through our results for the first quarter. It’s John Martin here. You have got Mark Fearon and Julia Henderson also on the line with me. Let’s give you some brief highlights from the quarter and then we will turn it straight over to questions. Firstly, like-for-like revenue growth was 6.6%, that’s a bit better than in previous quarters driven predominantly by the U.S., which had a very strong quarter. It is good to see some modest growth also though in Canada and UK and Nordics. You will see from the numbers, Central Europe and France remain very challenging and we will come back to the regional trends in just a minute. Acquisitions contributed 3.7% of growth, but that was more than offset in the quarter by FX headwinds in the quarter. So, reported growth in the ongoing businesses was 5.2% ahead overall. Gross margins – actually on a like-for-like basis, gross margins were 10 basis points ahead of last year, but we had a diluted impact from the acquisition of Puukeskus. That left reported gross margins in line with last year. Operating expenses in constant currency were 8% higher. That included the impact of the acquisition and that continued investments in new business models that we talked about at the year end results. We are staying very disciplined on headcounts. Headcount growth was 2% like-for-like year-on-year, with another 4% coming from acquisitions, that’s 6% overall. Trading profit was 13.5% ahead of the same quarter last year in constant currency and then that’s reduced that to 8.8% on a reported basis. Net debt was £858,000 million at the end of the quarter and that was after £120 million worth of share buyback that we have done by the end of the quarter. Since the end of the quarter, we have pressed on with the buyback and we are now at £185 million. CapEx was £53 million in the quarter. That’s in line I think with our guidance for the full year, £200 million. There are no event materialized and could impact the cash and the forecast items that we talked about back in October. I just cover a few of the factors in relation to the numbers and we move on to results by region. Trading days were the same as last year. FX we said was unfavorable. Cost is £9 million of profit, but at current exchange rates we would expect to see that coming back over the rest of the year. We made four small bolt-on acquisitions. Since the end of the year, cost actually is – they are pretty small, it cost £10 million in aggregates. We bought a small online, Waterworks provider in the U.S. We bought a small lighting share in Wisconsin and small plumbing and heating business in California. We also did a very small acquisition in Canada of an industrial PVF business. We have classified the France with solutions business that we said at final was going to be held for sale as non-ongoing. So, that’s excluded from the ongoing operations in the business. Just move on to the operations and all of the comments that we are going to make this morning on operations are going to be at constant currency just to clear that one up to you. The U.S. grew at 12.4% on a like-for-like basis and acquisitions added another 3%. Industry asset price deflation for most of last year, price inflation was negligible in the first quarter. So, we are not really seeing a big change in that. The growth in the U.S. is great to see really broadly based growth across all of our business units and also regionally across the U.S. There really were no weak points in the quarter, a really strong performance from Ferguson. Market growth remains about 5%. So, we have made some good market share gains across all of our business units. We stayed very focused on gross margins in the U.S. They were nicely ahead of last year and combining that with good control over headcount down the top space, we have got good flow-through to the bottom line in the U.S. Trading profit on a constant currency basis was £37 million higher than last year and that’s just depleted by the FX headwinds in the quarter. Moving on to Canada, we grew up 1.7% on a like-for-like basis. Blended Branches and Waterworks grew well. Industrial was a bit lower. We think we maintained market share there. Gross margin slightly lower than last year, but the top base is very controlled and headcount was held pretty flat. So, trading profit in constant currency was consistent with last year in Canada. In the UK, revenue was slightly ahead on a like-for-like basis, little price deflation. Plumbing and heating was flat. We got some modest growth in Pipe and Climate. Burdens Limited, which is the acquisition that we made now nearly two years ago, that continued to grow very well. Gross margins were lower than last year and the pricing environment remained pretty challenging in the quarter, but our operating costs again very well controlled and headcount was lower before the impact of last year’s acquisition. So, trading profit of £24 million is £1 million behind last year. Nordics grew 1.9% on a like-for-like basis. Growth in – good growth in Denmark, I should say, which is our biggest market in the building materials business actually was good. And Sweden was okay. Norway was okay, but we have declines in markets there remain very tough. Underlying gross margins increased slightly lower due to the Puukeskus mix in all of that and trading profit was £1 million behind last year in constant currency. Central Europe and France, you will see like-for-like revenue was down 9%. Markets there remain very tough, particularly in France. Gross margin is also slightly lower than last year. So, we brought operating costs down again to offset some of that profit shortfall, but you can see that trading profit was still significantly behind last year. Central costs broadly in line. Just regarding the outlook, overall, we think that revenue growth over the remainder of the year is likely to be in 5% to 6% range now and group trading profit for the ongoing businesses for the full year at current rates is likely to be in line with the consensus of analysts’ expectations. We are going to continue focusing on driving revenue growth and that’s using the same tool that we always have improving customer service, improving product availability, driving better sales management, all of the things that we have talked to you about over the last couple of years. We are also going to carry on defending our gross margins, improving our gross margins wherever we can. We are getting on with the program of investments in new business models that have talked to you about before the final results. And of course, we will at all times maintain the same disciplines over working capital. Operator, Claude sorry that’s it for me. Let’s hand it over now if we can to your questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Paul Checketts of Barclays Capital. Please go ahead. Your line is open.
Paul Checketts-Barclays Capital: Good morning gents. I have got three please. One is on the U.S. and you have given us what you think the group like-for-like should look like for the rest of the year, but can you just talk a bit about what your expectations are for that market? I know we had possible weakness in Q2 from weather last year and maybe some weather now, but tough comps second half maybe just flush that out? Secondly, it’s on the UK you have moved back in the positive like-for-like territory, but the gross margin is down, which I know isn’t really a position you want to have for too long, can you tell us what the strategy is now in terms of competing in that market? And then lastly is just a general question on gross margins across Europe, why you flagged them being weak, I know it might not be easy to do this across the piece, but can you just give us a feel for how this competitive activity intensified in this quarter please? Thanks.
John Martin: Paul, thank you. That’s a quite triple head that you have got there, but let me try that. U.S. expectations I mean we poll our customers every month. We have talked to you about that before on their expectations. The market is still growing at about 5%, has been over the quarter and that’s what our customers expect and that’s where all the work that we do on stats as well with all the institutions that we look at and all the sources that we look at, that’s what it looks like the market expectations are 5%. We have clearly done pretty well over the last 6 months and over a long period I should say. Our U.S. team has done really well to be taking market share. And I said we have taken share in every single business over this last quarter. So, clearly, the growth rate has been much higher. Look, we don’t see any clouds on the horizon in the U.S. and there is nothing that we have seen, Paul anywhere really across the business, geographies or business units. You know you referenced the weather I don’t really want to talk about that, because I don’t know what the comparative weather is going to be. And you also referenced sort of tougher comps in the second half, yes, but actually if you look – you get back to the comments that we made at the end of the year, we had strong single-digit moving now finding the low double-digit growth now for sort of over 4 years in the U.S. And we would expect today to continue to grow at those sorts of levels. Will it be quite as good as it was in this quarter? I don’t know. Clearly, we will work very hard. All of my colleagues and folks will work very hard to continue that trend. I think it’s in one sense it’s a bit unusual to see everything firing so clearly on all cylinders, but normally that continue. UK, look our strategy, our strategy in terms of what we intend to do remains exactly the same and that is we expect to take market share gains through superior service, superior product availability and through all the things that we have talked about for a long time and we also expect to defend and grow our gross margins. We are not going to be leading the markets lower by some aggressive pricing strategy. You know that’s not part of our D&A and we sort of referenced that as well. So, that remains a strategy, but the question is whether we could execute against all of those, it always is. So, there is no change in our strategy from the UK and we will just carry on trying to achieve those same names. That’s exactly what we said to our teams in the UK. Gross margins in Europe, I mean, look, Nordics actually the gross margin position is not bad. The gross margins have been maintained ex-mix in Puukeskus, which at least is understandable. I think in France in particular, it is just very tough at the moment. Our business in France is more new build related and you can look at the steps for new building trends at the moment, they come down a long way. And in that environment, clearly, our people want to carry on servicing customers and moving products, but there is very weak demand there and I suspect the margins there will remain on depression, Paul.
Paul Checketts-Barclays Capital: Thank you.
John Martin: It’s a pleasure. Claude, let’s move on.
Operator: Thank you. We will take our next question from Paul Roger of Exane. Please go ahead.
Paul Roger-Exane: Hi, good morning John.
John Martin: Hi, Paul.
Paul Roger-Exane: Hi, there. I will have three as well if I may. Can I start by again going to the U.S. and maybe focusing a bit more on that to up to of 18%, obviously you have said that price is relatively flat, you mentioned that OpEx was up I think 11%. So, just supplies that was strong enough. I guess the question is, is that realistic for the rest of the year? So that’s the first one. The second one was on again Continental Europe. You talked about minus 9.3%, would you can give any more granularity in terms of like-for-like? Was it just plans that declined or was it quite broad-based in terms of the soft trends there? And then just very quickly, when we look at the closed disposal held for sale numbers, is that all in Continental Europe?
John Martin: Yes, thanks Paul. So, just I mean on the U.S. flow-through, yes, I think I am not quite sure I referenced that number, the reported number.
Julia Henderson: The reported number and the like for 2014.
John Martin: Okay. So, constant currency flow-through in the state was 14%, but look I think we have been very fairly borrowing on this, but let me repeat it anyway. We think double-digit flow-through is good in businesses generally. The only way of supercharging that flow-through is if you get consistent improvements in gross margin and it’s our mindset to try and defend and grow the gross margins, but at the same time, it isn’t going to happen in every business in every quarter. So, I would maintain that double-digit flow-through is what we expect at our businesses over time and that’s what I would expect over time. It will be greater in some quarters, lesser in some quarters, but providing the businesses is doing the right things and the activities and behaviors are right. We will be happy to come through. In Continental Europe, actually Continental Europe as a whole, I am sorry, our Central Europe and France segments, that there are three businesses in there, the building materials business in France and our businesses in Holland and Switzerland. I must say it’s been pretty weak across the board. So, it’s not just France, it has been weak in Holland and it’s also been sort of fairly weak in Switzerland. So, the trade is across the board. Held for sale, no, there was another business in held-for-sale, which was the specialty tied business in the U.S. that we have just closed on actually last week. So, that’s the one that’s referenced in the £19 million cash consideration.
Paul Roger-Exane: That’s great. And just the actual gross margin expansion in the U.S. then, was there any mix impact there always a just case of pricing is stable in the environment, where variable costs are going down?
John Martin: Well, there are mixed impacts. They are somewhat complex I am afraid. So, let me just try and qualitatively describe them for you. In Blended Branches, we absolutely have been trying to expand counter sales and also sharing sales faster. That’s the first thing. However, some of our businesses where the gross margins are slightly lower have also been expanding the top line pretty successfully, including, for example, Waterworks, which carries a lower margin overall. So, there are some mix impacts, but here is the thing, every single business units in the states have a good gross margin performance. So, actually when you back all of that out, you get a really good gross margin by everybody doing punching about that right and doing the right thing. So, there are some mix impacts, but it’s more complex than that and there is nothing which you should think you are going towards our business in the U.S. pretty much universally, we have got a good gross margin performance.
Paul Roger-Exane: That’s great. Thank you.
Operator: We will take our next question from Tom Sykes of Deutsche Bank. Please go ahead.
Tom Sykes-Deutsche Bank: Yes. Good morning everybody.
John Martin: Hi, Tom.
Tom Sykes-Deutsche Bank: Hi. I had a couple of questions again on the U.S. please, just in this quarter what was the operating leverage like in the B2C business please, because I seem to remember that last year in the quarter you may have had some gross margin pressure in B2C, but I am assuming that, that’s growing quite rapidly and whether that is seeing more operational leverage down to the EBITDA line than the rest of the business? And then also just in terms of the productivity kind of following on from a couple of questions we have had before. If you look at productivity measures, what labor cost or gross profit or what [indiscernible] your preferred measure? Where are the productivity metrics relative to where you have been previous high points in the operating margin and how much further is there to go on the productivity side, particularly on the labor please?
John Martin: Yes, let me try on those. First on the B2C business, the flow-through has been good. And to Paul’s question before, gross margins are fine and so flow-through has been very good. Also the like-for-like growth rate in B2C has returned to the levels that we like and expect, i.e., higher than the overall growth rates. Look, I mean B2C is still a relatively, just sizing it is a relatively smaller business. It’s 5% business overall, but nevertheless a good contributor and a good contributor to all of the improving metrics in folks. The productivity metrics, I mean it is I am afraid like the top line it is different in different regions, but even in the U.S., there is still plenty to go in terms of driving productivity. I think that there are some differences now in the model and certainly in our desire to develop business model going forward. All of the work that we are doing on new business models is going to contribute either to improving top line growth or improving margins or improving the cost base or improving service or improving e-commerce penetration. Those are overwhelmingly the reasons for doing those projects. And I think over time, they will help our labor productivity, but of course there will be more investments in the non-labor side over the long-term in particular the technology side. So, I think in longer term, we should expect labor productivity to improve. Now, clearly in the U.S. at the moment, the focus has been, is and should continue to be – can we continue to drive really good market share gains and can we continue to drive gross margins whilst being absolutely in control with the top space. But the emphasis there on maintaining this market – these market share gains, profitable market share gains has got to be – is clearly got to be good. It has been good for shareholders. And it’s going to continue to be good. So, that’s slightly more of the focus though we are doing some really good investments in our business models and in the U.S. simultaneously at the same time is driving that top line growth and driving margins.
Tom Sykes-Deutsche Bank: Okay. So, when you look at the gross margin gain that you have seen across the businesses and in the U.S., so that has been more if you haven’t decided to sort of reinvest a bit more in growth, I mean could you refresh the gross margins higher by growing a little bit slower, is there a bit of just by the fact there is obviously a good gross margin performance, is there an emphasis on not talking it all of the gross margin, because the gross margin is good anyway and they are whole pushing the gross – pushing the market share gains as it stands at the moment?
John Martin: Well, I am not sure I can give you a very satisfactory answer to that question, because look at the question that we are asking certainly, Tom as well, which is fundamentally behind the question, what will – what’s surprising us in the business. Now, the reality is that we are selling up in so many different products, in so many different pricing points in such wide markets, that’s not easy to plan upfront and it isn’t even easy to experiment with if we dropped our prices by 0.10% would we get it more back at the top line, those experiments are not easy or straightforward in our business. So, we have really stopped that driving the service agenda to our customers. And if you are delivering a great service making sure that we recover that in price and in a sense therefore the top line is a consequence of that service if that makes sense. I just think it’s very difficult to do those price elasticity experiments in our business. We haven’t got consistent pricing for a single product across 50 states in the U.S. It’s just not like that and of course the costs – the fundamental reason for that is because our cost to serve to different customer categories is quite different on the way in which we serve different customer requirements is quite different. So, the price for a product picks up is not the same as the price for product delivered and it’s not the same price for a product for next day delivery compared to delivery in 2 months time. That’s one of the reasons why it is not easy to do those experiments.
Tom Sykes-Deutsche Bank: Okay, clear. Thank you.
John Martin: Thanks, Tom.
Operator: We will take our next question from Yuri Serov, Morgan Stanley. Please go ahead.
Yuri Serov-Morgan Stanley: Hi, good morning. Two questions. One is on your share buyback, so you have basically done more than half of your program by now and the program was supposed to be for a year. Could you please talk a bit about that what the thinking is behind your strategy and what we should expect in the future? And also I just wanted to get some parameters as to what this buyback means at what average share price you have been buying shares if you can tell us and/or maybe where we stand right now with share count? The second question is on the UK as well as well as what was already asked, you gave us some idea as to what you are trying to do in the UK, but could you give us a view as to how you think your position in the market and the markets itself are going to develop? There have been some changes in this market volume growth. What do you think is going to happen in the next few quarters? Thank you.
John Martin: Yes. Thanks, Yuri. Look on the share buyback, we said it would take up to a year and then for now it would still take up to another sort of nine months, I mean it could, we will see it will depend on volumes and liquidity and prices and all that sort of stuff. You would expect me to be fairly tightlipped or too depressed where it’s going to be, but our average price has been about £32.50 to send the datas in and you can get that off the website from all those – from all that data, but that’s the data. UK, the UK market is – the UK market has not changed substantially from a competitive landscape. The thing that changed last year was the energy company obligation that was in the markets over the last sort of 18 months. And that is also going to change again now, because Eco-1 ended earlier this year. I think that’s probably why you are seeing weakness from ourselves and also from sort of the competition over the summer months. Eco-2 is being formulated at the moment and should be in place. I think the government’s timetable is for early spring and that will have an impact on the market. Why does that impact the market even now? Well, because anybody who was eligible for either a free or cheap boiler installation under Eco-1 and the knowledge that Eco-2 is coming, all the plumbers know that it’s coming might be persuaded to hold on for a cheap boiler under Eco-2 relative than a full price one today. That’s why it impacts the market.
Yuri Serov-Morgan Stanley: Okay.
John Martin: And I think the difference this year between sort of Eco-1 or Eco-2, I suspect that market will be no less competitive this year than it was last year, because I think the energy companies will want to fulfill their obligations in the most competitive way they thought that we can. And so I don’t expect any pricing intensity to fall bluntly over that period. Although it will add volume into the market, so I would expect – we expect the market, the overall market for boiler installations to improve next year as a result of Eco-2 providing the government does what has been a trial to us. And the competitors I think they will remain pretty similar to the competitors that you see there at the moment, certainly in the merchanting space. We and other distributors will all be looking hungrily around for all the volumes that we do and we have. So, I don’t think that will change a lot. So, the summary of all of that is we would expect under Eco-2 volumes to increase and pricing to remain pretty tough.
Yuri Serov-Morgan Stanley: Okay. But in the market that you are describing which is people holding off on the buying decisions, you are managing to grow your like-for-like sales. So, it tells me that you are taking market share and probably fairly visibly, I mean, can you give us an idea as to what’s your market share capture is in the UK right now?
John Martin: Well, Yuri as soon as we can call victory that was, we will. I would be a little bit more cautious enough. I mean, yes, it looks like over the last quarter we have comparatively done okay. I don’t think you would say that did launch to the market share gains, not in the same way that you have seen, for example, in the Ferguson businesses over the same period and also coming out of the 6 months previously. So, I think we just need to be – we need to be cautious on that. I think the market will remain quite competitive and we will remain as one of the larger players in that market as you would expect we will want to get our market share of Eco-2 and we want to get our market share of the underlying market as well during that period of time and a little bit more just back to Paul’s question from before, we will absolutely hold our strategy on that.
Yuri Serov-Morgan Stanley: Okay. Thanks a lot.
John Martin: It’s a pleasure. Thanks, Yuri.
Operator: We will take our next question from Andy Murphy of Bank of America. Please go ahead.
Andy Murphy-Bank of America: Good morning gents.
John Martin: Hi, Andy.
Andy Murphy-Bank of America: And Julia, hi. I will go through the standard part of the call. First of all, can you talk a little bit about the U.S. distribution and just remind us where you have come from, where you are going in terms of the large distribution centers like the front row one – what you have done over the last say 12 months and what your plans are for the next 12 to 18 months? Just related to that, could you give us perhaps the flavor if it’s possible of what sort of uplift in sales that kind of development gives those branches that they are servicing? And I was just wondering on the sort of the Nordic areas where demand is tied I guess in the NIM in particular and across Central Europe, could you give us a flavor for the kind of cost-cutting that is possible to offset the weak top line?
John Martin: Yes, thanks Andy. Look I mean great question on the DCs and we should really cover this in more detail the half year or the full year. But let me just give you the sort of the short version now. In terms of sort of build-outs going on, we have got one DC currently under construction. And we have got also one big hub, which is almost like a DC, which actually also under construction servicing the New York market. What does it do in sales? It’s actually difficult to separate out the impact of a DC from what it brings, because what it brings is just greater availability of products. In terms of the hub, I am quite sure that will bring immediately. We are doing out on deliveries for the whole of New York from the hub when we do it. And so just to share product breadth and availability is pounds leads to decent sales growth. And also of course sales people have got somebody to talk about. They have got somebody to take their larger customers. We make it flush in the markets. We hire more people in to going to sue the market. All of those things reinforce. So, I think if you were a competitor of ours in New York and you saw us putting up a big DC in upstate New York and a big hub in the metropolitan area, you better be clear we had said to people that [indiscernible]. So, we are going to get the payback and therefore we have to see a big uplift in sales, exactly so. And that is very much our – I think when you were over there in front royal you saw Frank and the team presenting their blue branch strategy. That’s really sort of a regional strategy how do we bring more results as to regions, where we have been underrepresented and we really want to make a big and powerful and growing and profitable business. We are taking all of our resources DC, distribution facilities, hubs, marketing resources, because you need to put marketing and the sales in there first, all of that stuff. So, I think you should expect, for example, our New York Metro region I think you should expect very strong sales growth in that region over the next couple of years as we fill those DCs and sell a lot of products.
Andy Murphy-Bank of America: Okay, thanks.
John Martin: Nordics cost base, look the great news, I did reference Stark particularly, which is our biggest business in the region actually in the quarter did very well. And there are questions in our mind of well cutting costs, you know Ian and I and the rest of the management team have been very active and some would say aggressive on controlling and cutting costs. And there are some alternative strategies, which is to make sure that we are not missing top line growth in that process. That’s very important for us. We have got market leading positions in places like Denmark in the building materials business in Beijer in Sweden in the building materials business. Surely, we want to capitalize on and grow those market leading positions. So, it’s not all about costs. I mean, actually those businesses have proven very good at controlling costs and will continue to do so. And the one thing that I would say we are less susceptible for landlords pushing up rents in those areas, because we have more, far more free held property in Nordics than we have got in any other jurisdiction in the group. But I would say certainly over the last sort of – over the last 6 months, our focus has been a little bit more on – and this is around edges, Andy. Our focus has been a bit more on rights. If that’s the market what can we do to make sure that we really are taking measurable market share gains whilst maintaining our margins, i.e., doing it through service, service, service, product breadth, all of those things that we have talked about rather than just cut, cut, cut, cut costs, because the market is flat or down and whatever now. Those things are going to happen at the same time by the way, because we have to make sure that every pound that we spend is spent wisely. And on if we spend more on marketing we spend more on sales, those things of held financing at least. So, we are switching the emphasis a little bit. I think you see that in the Nordic numbers this time actually. So, the top line is slightly better. Actually, the profits are not far or flat on a constant currency basis and that’s probably a back to position and being down to as we present on the top line and cutting new costs. Does that make sense, Andy?
Andy Murphy-Bank of America: Yes, that’s fine. Can I just ask a quick follow-up relating to France and French wood solutions business, which solution is into the assets held for sale or does that sort of indicate that we might see a disposable there this financial year?
John Martin: That’s right.
Andy Murphy-Bank of America: Yes. Does that have bearing on what you may or may not, but think it out for the French business, the remainder of the French business?
John Martin: So, on IWS, the answer is yes. I mean, we would be disappointed if we don’t get this sorted in this financial year. On the rest of the BM business, you know the things that we did and we are putting new management team in about a year ago. We are at 140 branches, which is a [indiscernible] in north of France. And actually the team are making very good progress on some things behind the scenes, including things like working capital management. But at the end of it all, you know that we have been very clear on our assets allocation methodology. So, clearly it isn’t – France would not be an attractive place now as that we are bidding for further investment fronts compared to other parts of the group. So, I wouldn’t want to preclude what we do in the next round of strategic review, but nevertheless you know our direction of travel and the discipline that we bring to these things.
Andy Murphy-Bank of America: Okay. Thank you very much.
John Martin: It’s a pleasure.
Operator: We will take our next question from John Messenger of Redburn Europe Limited. Please go ahead.
John Messenger-Redburn Europe Limited: Good morning, John and the team there.
John Martin: Hi, John.
John Messenger-Redburn Europe Limited: Just actually three, one is just following on from that one, just on IWS, can you remind us John I think it’s of the order of £50 million, but I guess that was a seasonal low at year end, but kind of the capital tie-up in IWS just to have an idea of that number? And the two other questions were just on Nordic, I don’t know if you are prepared to give it, but you did mention that Denmark was rather better on like-for-like, I think if you would be able to just flush out the kind of the difference in like-for-likes between Denmark, Norway, Sweden and obviously the very – much more difficult Finnish market? And then the final one for me was just on – back on the UK in terms of Eco and your market position just obviously to now a year ago, the group didn’t go for that and obviously Travis did, obviously the mindset I assume has changed somewhat in terms of you do want to basically be there and pickup some of the Eco-2, but are you structurally in anyway disadvantaged in terms of your BG kind of under representation in terms of what that Eco market can throw up or would – is there any reason why you structurally shouldn’t get a relatively similar gain on sales relative to your market share just because of your lower BG activity or is there something just a result of bear in mind in terms of that structure of the UK market?
John Martin: Sure. John, I believe as the assets remain, they are about the same, so €60 million to €70 million, £50 million, £60 million.
John Messenger-Redburn Europe Limited: Got it.
John Martin: Within Nordics, yes, so decent sort of single-digit growth in building materials in Denmark and Norway, weaker growth in Sweden at the moment and if you follow other sort of public companies there in the space, you will see big markets there, Q3 was down 1.6% like-for-like. We did a little bit better than that, but it’s still a little bit tough going in Sweden. And Finland is down still single-digits and the competitive reference to public data available is around [indiscernible]. And you can see their numbers. I think they were down 4% in Q3 was what I read.
John Messenger-Redburn Europe Limited: Yes.
John Martin: So, that puts us into some competitive context for you. Eco-2, yes, BG is not our – BG is supplied by the competition, but there is a lot of other markets out there. So, there is no reason that we shouldn’t do better on the Eco-2 than we did last year. So, we would – you know from what we said to you before, we absolutely do want to step on and to make sure that we get our share of that market.
John Messenger-Redburn Europe Limited: And just also internal math, does that from the point of view it will just be branch supplies obviously the way the competition set themselves up to supply that kind of BG workload, I assume is maybe something that plays arguably to their strength in terms of just extra volume that Ecos force their way, but I assume you would argue your DCs and everything you can do from a branch available point of view shouldn’t mean that you are disadvantaged other than that BG relationship point. Is that fair?
John Martin: Yes. Well, I think that is fair. The other thing is to start that market. There are installers who install on behalf of BG and the other five energy companies. And we do supply a number of those with our installers. So, it isn’t that those volumes if you look at BG’s obligation, they fulfilled some of it themselves.
John Messenger-Redburn Europe Limited: Yes.
John Martin: They outsourced some of it through other installers. The bit that they do themselves they don’t use us at the moment.
John Messenger-Redburn Europe Limited: Yes.
John Martin: And the other installers many of them do use us. So, it’s not totally lost. Some of BG’s Eco-1 obligations were fulfilled by boilers that were sold through installers by Wolseley.
John Messenger-Redburn Europe Limited: Got it, yes.
John Martin: And that will be the same in the Eco-2 and I hope it will be slightly more.
John Messenger-Redburn Europe Limited: That’s great. Thanks.
John Martin: Thanks, John. Claude, I think we have probably got time for another two questions if we can.
Operator: Okay, thank you. We will take our next question from Aynsley Lammin of Citigroup. Please go ahead.
Aynsley Lammin-Citigroup: Thank you. Just two quick ones. Firstly, maybe if you could just comment on Canada obviously like-for-likes there are up 1%, should we expect that just start to recover from here or from a similar for the kind of next three or four quarters? And then just on the acquisition pipeline, any comments there should we just expect continuation of kind of bolt-on acquisitions similar to what we have seen in Q1 for the next couple of quarters? Thanks.
John Martin: Thanks, Aynsley. Canada, yes, I think we should expect if you look at the market, we do some new builds. Most of our new builds are single homes. And as you know in Canada, there is some big multi-occupancy stuff in the big cities, particularly in Toronto and Vancouver. The new house market is actually down in Canada and we do have some oil and gas exposure of that, but net-net, it’s a good market for us to do very well with. I think the results there are likely to be. If you certainly watch the probability going forward to sort of 5 years, I think it will be a little bit bumpy along the way, a little bit volatile, because we have a good industrial business there generates about 20% of the business, that is hugely volatile. Fine, it’s not material to the group but just share that with you. Yes, I would expect Canada to get to at the moment the low growth given what we have seen in the market, given our market position I would expect low growth as of Canada. On the acquisition pipeline, yes, I think you should expect to see more of the same. Clearly, it’s been a little bit quiet this quarter, but no change to our guidance that is by definition going to be a bit lumpy. But I still expect that run rate of £200 million plus –£200 million to £300 million invested in any one year I think is quite sensible and possible.
Aynsley Lammin-Citigroup: Great. And just lastly just on the consensus that’s around 845 the trading profit for this year that’s what you have been referring to?
John Martin: Yes, 846 I think is on our website.
Aynsley Lammin-Citigroup: Thank you very much.
John Martin: It’s a pleasure Aynsley.
Operator: We will take our next question from Harry Goad of Credit Suisse. Please go ahead.
Harry Goad-Credit Suisse: Excellent. Thank you. Two please. If you – just sorry just another one on France, but if you were able to give a number just for your French operations on a standalone basis, would it be fair to say that the double-digit negative number? And then the second one is you have referenced a couple of times still no price inflation or product price inflation in the U.S. business, is it just correct to assume that just won’t change or would you still expect to see some inflation coming through over the course of the next 12 to 18 months?
John Martin: Yes. Thanks, Harry. I mean, look France has been weak and it is weaker than the 9%. So, yes, broadly Europe is without going into too much flat running RFP. Product inflation continuously I think I said when we talked at the results, my expectation now longer term would be that there will be some inflation creeping back in. I think the U.S. turned a little bit and of course the one sort of – the one things that have still keeping it down is all of that is being low. But I would expect longer term now for inflation just to start and push back in, particularly in the U.S., because at some point there is going to be labor inflation and labor-related again of our input cost price, bigger than oil and topper and steel. So, that’s what I would expect, but it’s still a pretty un-inflationary environment at the moment. Mark just raised two things just to me before that, I think he is not being rude he was just saying there is time for another question. So, let’s have the last one Claude if we can and then after that, if anyone has got any more catch-ups just call Mark or me or Julia directly if you will, but Claude let’s take the last one please.
Operator: Okay, thank you. We will take our last question from Howard Seymour of Numis. Please go ahead.
Howard Seymour - Numis: Wonderful. Thank you very much. And sorry to hop back on the UK, I think its two parts of the same question, one is you mentioned the sort of the pricing environment, John, is it reasonably specific in that it’s sort of acre related, but it’s boilers or would the price deflation be on why the products in that? And secondly and as I say related therefore is the pressure coming from the installers themselves or would you say at least the distributors that are sort of leaves enough price pressure?
John Martin: Howard, yes, it’s a great question. I think let me just trying on to the second one first, which just sort of got me thinking. Look, I think the question if I am hearing it right is sort of is this price pressure being led by of and our competitors or our customers. Is that the essence of your question?
Howard Seymour - Numis: Yes, it is. And as I say I suppose it has led to or is it specific in which case you could say it would be the distributors or is it sort of a wider aspect of it, yes that’s the [indiscernible]?
John Martin: No, it’s a tough question to answer, because pricing is always – there are feedback loops all the time there. And I can tell you now and if you heard our competitors on the phone, they will say the same thing. It’s always the competition. It’s always [indiscernible]. It’s the same old thing when you are a CFO you always win on quality, lose on price. So, but without being sort of broad based, I think it is hugely difficult to know, genuinely though I do think here market expectations are changing, because in a sense whether a distributor offers a customer a better price or whether the customer demands a better price at the end of the day, the customer is getting better price. They know then two things. Number one, the price went down. And number two, that’s sort of opening up the next round of negotiations. So, they learn two things. One is the price get down and the other is you negotiate on prices. But there is one thing happening with Eco in particular, the rise of the installers that certainly and look it’s not a huge part of the market today don’t get me wrong, the market isn’t – the market that our customers operate in is not consolidating rapidly. However, the large installers, they absolutely extract their pound of flesh. They want great service and they want great prices. And clearly, that benefits of scale given the opportunity to reasonably to go after those two things. So, without a doubt, that is being led by the installers, but that’s only part of the market. Coming all the way back to it, I suspect that given the market weakness at the moment, there is still a desire of people not to lose market share. And that makes defending pricing that much more difficult. Coming all the way back there to Paul Checketts question earlier, our strategy remains the same to take market share using great service, great breadth of range, great product availability to win share and also to defend and incrementally grow our gross margins. So, that remains where we are heading. We are not heading towards price deflation, selling price deflation. So, I hope that you gives you at least some comfort on that one. Just then back to your first question is it boiler specific? Well, the price pressure is not boiler specific, particularly because you are looking more at pricing systems although boilers are a reference product in the range of products that we have. There are some other reference products as well. I mean, the other big ticket stuff line can radiate us. It’s pretty similar. But I wouldn’t be gloomy I think the UK will remain a thoroughly decent and sensible market for us going forward. And what we are seeing at the moment is just some dislocation in that market due to Eco sign, it’s not the biggest part of the market, but it will just impact the customers’ buying habits over the short-term.
Howard Seymour - Numis: Okay, good luck. Thank you very much.
John Martin: Splendid. Look Claude, we are going to cut down and awfully sorry if anybody had further questions. But do feel free to call Mark or Julia or myself directly, very happy to take any other questions that you have, we are here for you this morning or any other time for that metric. Let me just make a couple of closing remarks. One really I think these – I think the performance after Q1 is in line I think one of the Newswires on this morning said yes, we are trundling along and I think that summarizes this year, I think good progress in Q1 overall with where we would like to be at the back end of this financial year and good progress with the investments that we are making, a slightly lower on M&A, but that’s only a sort of short-term thing. Cash and profitability both under good control. So, thank you very much everybody for dialing in. Do give Mark, Julia or myself a call if you have got any others and otherwise we will next talk to you in the spring. Thank you very much and thanks Claude for managing the call.